Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Immersion Corporation First Quarter 2014 Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions). This conference is also being recorded today, May 1, 2014. I would now like to turn the conference over to Jennifer Jarman of The Blueshirt Group. Please go ahead.
Jennifer Jarman: Thank you, operator. Good afternoon, and thank you for joining us today on Immersion’s first quarter 2014 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the company’s website at www.immersion.com. With me on today’s call are Vic Viegas, President and CEO; and Paul Norris, CFO. During this call we may make forward-looking statements, which may include projected financial results or operating metrics, business strategies, anticipated future products, anticipated market demand or opportunities and other forward-looking topics. These statements are subject to risks, uncertainties and assumptions. Accordingly, actual results could differ materially. For a listing of the risks that could cause this, please see our latest Form 10-Q filed with the SEC, as well as the factors identified in the press release we issued today after market close. Additionally, please note that during this call we may discuss non-GAAP financial measures. For each non-GAAP financial measure discussed, a presentation of the most directly comparable GAAP financial measure and a reconciliation of the differences between the non-GAAP financial measure discussed and the most directly comparable GAAP financial measure is available in today’s press release. With that said, I'll turn the call over to Chief Executive Officer, Vic Viegas. Vic?
Vic Viegas: Thanks, Jennifer, and thanks everyone for joining us this afternoon. Immersion commends 2014 with more record results generating a new high of $15.4 million in revenue during the March quarter, the quarter was full of exciting events and milestones as we demonstrated new technologies and solutions at Mobile World Congress in Barcelona, benefited from a console refresh cycle in gaming, signed agreements with key automotive licensees, continued to make progress on our mobile content initiative and saw one of our key mobile OEM Samsung released new flagship variable in mobile devices featuring innovative Immersion technology. In a few minutes, I will discuss our recent business development, but first I'll ask Paul to discuss the details of our first quarter 2014 financials. Paul?
Paul Norris: Thanks, Vic. As Vic mentioned earlier, revenues for the March quarter were $15.4 million, up 11% from revenues of $13.9 million in the year ago period and representing a record revenue quarter for Immersion, revenues from royalties and licenses of $15.2 million were also a record and were up 11% from royalty and license revenues of $13.6 million in the first quarter of 2013. Of these amounts in the first quarter of 2014, variable royalties based on shipping volume and per unit prices totaled $7.5 million and fixed payment license fees total $7.7 million. This compares to variable royalties of $7.5 million and fixed pricing fees of $6.1 million in the prior year period. As a reminder in the first quarter of 2013, received a one-time benefit of more than $2 million in royalties in our mobility business due to an overlapping receipt of both payout period and new revenue under our formal agreement that expired and were subsequently renewed. While revenue mix, per line of business is expected to be fluctuate on a quarterly basis due to seasonality patterns for the first quarter of 2014, a breakdown by line of business as a percentage of total revenues was as follows. 50% from Mobility, 33% from gaming, 13% from medical, and 4% from auto. Gross profit was $15.3 million or 99% of revenues compared to gross profit of $13.7 million also 99% of revenues in the first quarter of 2013. Turning now to operating expenses. Excluding cost of revenues total GAAP operating expenses were $12.4 million in the first quarter of 2014, compared to $12 million in the year ago period. Operating expenses in the first quarter of 2014 included non-cash charges related to depreciation and amortization of a $127,000 and stock-based compensation of $1.6 million. The non-cash charges $251,000 were included in sales and marketing, $530,000 in research and development and $910,000 in G&A expense. Litigation-related expense for the quarter was $1.5 million down from $3.1 million in the fourth quarter of 2013. Net income for the first quarter of 2014 was $1.9 million, or $0.06 per diluted share compared to $1.7 million or $0.06 per diluted share in the first quarter of 2013. Net income for the first quarter of 2014 includes a provision for tax expense based on an effective rate for the quarter of 36.7%. As a reminder beginning in 2014, in addition to normal GAAP metrics we’re using non-GAAP net income and non-GAAP earnings per share to track our business performance. We define non-GAAP net income as GAAP net income less stock-based compensation. We define non-GAAP earnings per share as non-GAAP net income per fully diluted share. Non-GAAP net income for the March 2014 quarter was $3.4 million or $0.12 per diluted share up from non-GAAP net income of $2.7 million or $0.10 per diluted share for the same period last year. Our cash portfolio including cash and short-term investments was $81.3 million as of March 31, 2014, up from $71.1 million exiting 2013. The increase was driven primarily by $16.4 million in cash generated from operations during the quarter. During the March quarter, we spent approximately $6.9 million to buy back 605,000 Immersion shares leaving us with $12.6 million remaining under our authorized stock repurchase program. Management and the Board remain very confident and our business fundamentals and future prospects continue to believe that our stock is attractively priced and expect to continue to execute opportunistically to buy back shares under our authorized stock repurchase program. We will continue to monitor our cash balance and stock price relative to any future buyback activity. As we indicated heading into the new calendar year, based on our current outlook, we expect revenues for 2014 to be in the range of $54 million to $62 million, an increase of between 14% and 31% over the prior year. Non-GAAP net income for 2014 is anticipated to be in the range of $8 million to $15 million. With that, I’ll turn it back over to Vic.
Vic Viegas: Thanks, Paul. Q1 is always an exciting quarter for us with a number of new product introductions and industry events driving activity around the world. At the end of February, we participated in the Mobile World Congress Trade Show at Barcelona, the most important mobile industry event of the year. Mobile World Congress offers us the opportunity to pull back the curtain and share new [type forward] experiences and technologies that we've been working on, ones that will enhance mobile products for years to come. This year was particularly exciting as we not only introduced an array of innovations relating to our core OEM products but we were also able to show the results of our investment and haptically enabled content and media creating new ecosystem opportunities for OEM, advertisers, developers, content owners, publishers and others. As I discussed before, user research shows that mobile ad and entertainment enhance with tactile effect are demonstrably more enjoyable and perform better on key commercial metrics including increased intent to purchase, higher long term recall rates and greater user engagement. At the show attendees were able to go hands on to experience tactile ads and short form video content as well as preview some of the tools we have developed for content designers and producers to add tactile effect into their editing and production environment. We continue to make a substantial investment in mobile content and are pleased with the rapid progress we are making in the principal areas that we are measuring. During the quarter, we strengthened our IT position, refined our tools and technologies, engaged in user testing to validate our offerings, worked closely with potential partners throughout the ecosystem and perhaps most notably entered into our first evaluation and testing agreement. Under this agreement our ad tech partner will work with us to integrate our enablement tools into their software environment and evaluate the performance of haptically-enhanced ad. At this point we believe we are on track to launch commercially and achieve our first content in media revenue as early as the end of 2014. At Mobile World Congress, we also demonstrated tools and technologies allowing consumers to add tactile effects to their own personal videos. Using our haptic tools, users can bring their videos to live by engaging a sense of touch to exaggerate, emphasize and intensify physical feel, incorporate personal commentary and express emotion. Imagine using social media to share a six second micro video clip of attested 50th anniversary, where you can physically feel the clink of champagne glasses raised in a toast or the rhythmic beating of an animated heart sticker inserted at a particularly touching moment. We also previewed sensor based tactile technology, where data captured from appellates wherein gyroscopes and accelerometers are translated into haptic track and incorporated into mobile video. Sensor based haptics can really bring mobile support video to life, by for example allowing viewers to literally feel every sharp turn carved out by a snowboarder swallowing down at key slope. Sensor based haptics is a great example of technology being developed within Immersion's R&D labs. And as digital sensors proliferate and the internet of things increasingly becomes a reality, we believe that we will see a growing number of terrible opportunities were haptics can make engaging with the digital world more meaningful, more intuitive and more realistic. Beyond content and media, we unveiled a large number of new mobile UX concepts and tools at Mobile World Congress. Demonstrating just how rich and rewarding haptic effects can be in smartphones and tablets. For example, visitors to our booth were able to feel how haptics can transform a simple camera app into a satisfying (inaudible) SLR photo experience, just by adding the realistic shutter click, auto focus and zoom sensations that camera enthusiasts have come to expect. Similarly, we showed OEMs developers and others how to use Immersion tools and technology to quickly and easily implement, innovative and intuitive typing and data entry [Qs]. Novel ways of using proximity sensors to feel the voice buttons without even touching them and emotionally rich social communications using touch enabled stickers, emoticons and doodles. We also took advantage of the Barcelona event to highlight the ways, the tactile feedback can add great value to the emerging wearable device industry by providing personal private and discrete interactions between a wearable device and the user tactile effects offer a unique, rich, and meaningful communications channel. The wearable demonstrations at Mobile World Congress, let visitors experience a wide range of tactile enhancement including rich alerts and notifications, smart home control, health and fitness applications and gaming. During the quarter, we were also pleased to see customers announce important new devices featuring our TouchSense software. In March Samsung launched its flagship Galaxy S5 smartphone, which uses a unique new haptic feature from Immersion called Tactile Assist. Tactile Assist is an accessibility feature which allows consumers with disabilities to enjoy a more immersive experience while engaging with mobile games and entertainment by enhancing the visual and audio action with tactile effects. We are particularly excited by the opportunity for haptics to enable unique accessibility features and are investing in further product development to improve the mobile experience for those with disabilities as well as for users operating devices in environments where it may be difficult to clearly see or hear. In addition to the Galaxy S5, Samsung also announced two new wearable devices, the Gear 2 and Gear Fit. Immersion worked closely with Samsung to develop custom versions in the TouchSense to support the Tizen OS in the Gear 2 and ORTOS operating system and the Gear Fit. We believe that haptics will be of increasing importance in the wearables market and are working with our partners to ensure that haptics is an integral part of the technology capabilities being established for these platforms. On a mobile contacting front we continue to engage with the number of potential OEM customers in China where we’re seeing great enthusiasm for our new demonstrations and an understanding of how haptic technology can be a valuable product and platform differentiator. We’ve established a strong sales team in the region and are building our technical teams in order to provide rapid local response to these potential customers in China and we look forward to updating you on our progress with new licensees in the region. In gaming our quarterly revenue rose dramatically driven by Sony’s launch of its new PS 4 console platform as well as strong holiday sales by our third party peripheral customers. More generally the gaming industry has been rejuvenated by new console releases and we are excited by the opportunities presented as console gaming converges with mobile gaming and as participants in the gaming ecosystem explored new business models. In our automotive business we announced new relationships with Continental and Tokai Rika two major first tier suppliers and have productive meetings with auto makers at the Consumer Electronics Show in Las Vegas and throughout the quarter. We continue to see growing interest from auto manufacturers who appreciate that haptics can enhance safety by reducing driver distraction. They have recognized that their customers feel more confident when using automotive touch interfaces with haptic feedback and that they preferred tactile feedback to visual and audible alerts. The commercial value of the Immersion Technology has now been clearly demonstrated as Cadillac, Lexus, Acura, Opel, Aston Martin and Kia all brought touch interfaces with half fixed to market in 2013 and we look forward to an increasing number of design wins in the future. Lastly, we have concluded the fact discovery phase of our lawsuit against HTC Corporation in the U.S. District Court in Delaware and now moved into expert discovery. Our trial is now less than a year away commencing on March 23, 2015. We remain extremely confident in our case. Overall, we're encourage by the interest and investments in haptics that we're seeing from industry leaders and many markets and are constantly exploring ways to innovate and extend access to emerged technology beyond our core markets today, bringing reach tactic feedback to advertising and entertainment content, to social media and communications app to variable and new device form factors and to evolving area such as the internet (inaudible). In closing, we look forward to seeing some of you this quarter out on the road or the Jefferies TMT conference in Miami, the B Riley conference in Santa Monica and the Cowen Display Technology event as to SID show in San Diego. With that, we'll now open up the call to our question. Operator?
Operator: Thank you, sir. We will now begin the question-and-answer session. (Operator Instructions). And our first question comes from the line of Josh Nickels with B. Riley & Company. Please go ahead.
Unidentified Analyst: Hi, I was just wondering about, how can Immersion gain some upside for the Samsung product inclusion, aside from honestly the fix component of the license for some upside opportunities.
Vic Viegas: Well, we continue to work by adding more value to the Samsung products and extending the product lines from smartphones and into variables. The specific time factors we cant get into but as we have alluded in the past as there is a fixed component to the Samsung agreement so in order for us to benefit from outside opportunities, we need to continue to bring them more value and offer a solutions in new market.
Unidentified Analyst: Do you have anything on the breakout, I know that’s about 50-50 split of a total revenue as Paul alluded at the end of the call do you any specific on the breakout for Samsung or (inaudible) for the (inaudible)?
Vic Viegas: We don’t have a breakout other than as I mentioned in the prepared remarks approximately 50-50 split just over all by different vertical market royalty versus fixed license. Unidentified Analyst
Unidentified Analyst: Great, okay. And I guess just one or two more (inaudible) I know G&A it looks like a bit of a bump to $6.5 million I know there were some legal expenses, could you just provide a little bit of color on that space?
Vic Viegas: Yes, sure there were some as you noted additional legal expenses in the quarter, quarter-over-quarter so that higher and then also we had increased headcount at the end of the year, at the end of 2013 we had a 112 total employees and that is now up to 121 at the end of the first quarter of 2014 so most of our OpEx in general is driven by headcount, we also had some expense although not necessarily pinpoint towards G&A in connect with the Mobile World Congress retail event during the first quarter.
Unidentified Analyst: Okay. Thank you.
Vic Viegas: You bet.
Paul Norris: Thanks Josh.
Operator: Thank you. And our next question comes from the line of Jeffery Schreiner with Feltl and Company.
Jeff Schreiner - Feltl and Company: Yes, thanks for taking my question. Vic, could you talk a little bit about maybe a timeframe for the contract renegotiation that you previously discussed or somewhat part of the driver in your annual guidance. Could you give us any help as to when we should be expecting these to occur or not occur?
Vic Viegas: Well, we have quite a large number of licensees. So at any point of time, there is some number coming up for renewal, we deliberately keep those agreements relatively short term in nature. So, that were more align to the market trends and activity. We currently are in discussions with a number of licensees, you maybe referring to LG, we are in discussions with them. But our current guidance, we feel comfortable with and it anticipate some number of renewals, some number of discussions that don't lead to renewals as well.
Jeff Schreiner - Feltl and Company: Okay. That was very helpful. And then is there any uptick you told us, you can't wait to show us the new licensees maybe from the Mainland in China. But I was just wondering, if you could maybe update us a little bit more regarding additional licensing opportunities how things changed your work and then something is going to happen (inaudible) color on that would be helpful?
Vic Viegas: Sure I guess, our one existing licensee in China is directly with Xiaomi and I would point to success that they’ve had with a number of products including the one I think today they discussed pre-orders substantial pre-orders for their phablet, our technology is in their product, so we are seeing great exposure of Immersion technology in China, I wish just there for a couple of weeks and spend a bulk of my time needing with OEM prospects but also are really strong interest from the content community. And I would say broadly based these are people who create games, chat applications, and other types of productivity applications, as well as people who would be ideal for our mobile video ad business. And so lots of interest in China and we're building a good solid team there, as you can imagine early efforts are evaluating software products building demo units, coding technology to platforms and proving that its market ready. So we're going to all of those and then lastly as closing up contract. So I can’t tell you exactly timing we don’t want to give away or negotiating positions, but we do believe we’ll have some number of new OEMs in China this year.
Jeff Schreiner - Feltl and Company: Okay. And last one from me, just quickly Paul could you repeat the prior quarter and prior year variable breakdowns? And then what’s the target mix going to be kind of going forward what should we be thinking about in terms of where you want the model?
Paul Norris: Right, so in the year ago period, the variable royalty component of the revenue was $7.6 million, or $7.7 million, let me just double check $7.6 million and then the fixed with $6.1 million and this quarter it was $7.5 million royalty and $7.6 million, or $7.7 million, excuse me, $7.5 million variable and $7.7 million fixed. As far as that target goes and then one other piece of information I can give you is for the full year last year, the total variable was $19.5 million and the total fixed was $26.7 million, $26.6 million rather. Going forward we generally expect that we will be emphasizing fixed the where it make sense, we’ve considered that in our China negotiations partly because that release the pressure on having to rely on royalty report, but each negotiation is different we’re pretty happy either way, we look at the overall economic of the deal and depending on all of the factors that go into it, we’ll look and maximize and get the best terms overall for our shareholders. So I don’t think we have a target percentage.
Jeff Schreiner - Feltl and Company: Okay. Thank you gentlemen.
Vic Viegas: Thanks, Jeff.
Operator: Thank you. And our next question comes from line of David William with Ascendiant Capital Partners. Please go ahead.
David Williams - Ascendiant Capital Partners: Hey, good afternoon and thanks for taking my question. Just a couple of quick things, I just kind of thinking about the landscape today, we’ve heard several positive data points around this industry. And you guys obviously had a very successful quarter in making some of these developments and fruition. Just kind of wondering your guidance looks fairly flat to what you had previously. Is there anything to that, is there maybe your outlook is changed any or are you maybe just staying a little more conservative today just on work in progress?
Vic Viegas: No, I would say that we still feel confident in the guidance. I think our outlook is probably as it was at the beginning of the year. During the quarter, we had great progress in a number of fronts. We still have almost three quarters of the left in front of us. So we feel good about what we're doing but there is always exposure and risks and things that you can't predict. So, we feel given the seasonality effect of the first quarter, which we benefited, we think Q2 will be below Q1 as it always is. But we think in general the business is healthy, it’s growing over prior year and we're feeling pretty good about the guidance.
David Williams - Ascendiant Capital Partners: Great. And I know prior there was no guidance or the video content contribution was not included in that. Are you including any of that in this year’s guidance?
Vic Viegas: No, I think our goal this year is to get large number of pilot studies underway and how the market verify what we believe internally and what we've proved through user test that it makes a measurable difference in consumption behaviors of consumers. So, we want to do these pilot studies and get the market to see that themselves. And then we expect to generate some revenue, but we believe it will be relatively modest and would not impact the current guidance.
David Williams - Ascendiant Capital Partners: Great. And one more if I can. Just kind of thinking about the China and the growth that’s going on in the emerging markets, are you seeing anybody that’s really coming up as a competitor that you're concerned with, anybody who is trying to knock off your technology that you are seeing today?
Vic Viegas: No, we continue to be the sole provider of quality haptic technology and not only solutions but ID. We haven’t seen anything occurring in any of the markets, any other verticals or any other goes we work in. So at this stage if you want a good quality haptic Immersion is your customer is your source.
David Williams - Ascendiant Capital Partners: Great.
Vic Viegas: Thanks David.
David Williams - Ascendiant Capital Partners: Yeah, thanks.
Operator: Thank you. And our next question comes from the line of Charlie Anderson with Dougherty & Company. Please go ahead.
Charlie Anderson - Dougherty & Company: Yes, good afternoon, thanks for taking my questions. I wondered -- thank you so much by the for the fixed and variable breakout. I wonder in terms of your annual guidance, would you suggest that we just kind of straight line the Q1 fixed amount and then put the variable within the bracket of your guidance or are there puts and takes on that fixed line thinking about rest of the year?
Paul Norris: I think there is some puts and takes on the fixed amounts in particular as we look at potential new arrangement with OEMs and those may or may not include some additional fixed elements to them. So last year, we started out the year with a fixed component being actually less than 58% and then ended up being a little bit more than that. And this year I think you will see that in general, the fixed amount will become a little bit larger relative variable royalty but I don’t know that I would -- again because we are still negotiating and talking about some of these future relationships and they are haven’t been structured yet, I don’t know I can give you a direct way to extrapolate it out.
Charlie Anderson - Dougherty & Company: Got you. I noticed medical seemed higher than last few quarters and it was also high in Q1 a year ago. Is there a seasonal thing going on there and how should I think about what's happening in the medical the rest of the year?
Vic Viegas: I wouldn't say the seasonal, but clearly, it's a big ticket item. And so depending on particular promotions or different activities by our licensees, you can see some movement in that. It was as good strong quarter. I don't know that I would expect continued growth for the rest of the year, but we do think it will grow and we project increased revenues from medical.
Charlie Anderson - Dougherty & Company: Great. And then one of the things that’s happened in (inaudible) in the last I don’t know maybe month or so is, one of the largest suppliers of microphones AAT has talked a lot about a ramp in there but their haptics business, that’s really just actuator business and they have a lot of customers who are, people you would love to license I think. I wonder if you’ve seen that and just kind of your take overall and if there is any benefits that improved with that ramp or just a little market share situations (inaudible) you can tell?
Vic Viegas: Well, we're always excited to see advanced actuator technology come to market. I believe if I’m not mistaken, you'll see that AAC actuate or in the (inaudible). So they’re already in the market and that’s an opportunity for them. So we think that that's good for the overall haptic market, it's good quality solution and we work with them for many years in helping them optimize their solution.
Charlie Anderson - Dougherty & Company: Great. And then it relates to China since you were just there, I'm kind of curious, I think the expectations out there will maybe over a 400 million smartphones sold in China this year. Do you have a sense of what percents are using haptics and are sort of licensable on an IP basis for you over there?
Vic Viegas: Well, the markets served by a number of different OEMs. So I think Samsung has had success there in China as well as India, so we benefit from Samsung having success in broader territories. In terms of OEM shipments in China and the IP, it’s still all subject to our negotiations and agreements that we have yet to close.
Paul Norris: I think of the amount in China relatively smaller percentage is Apple, but I mean 10% or 15% is Apple, but the bulk of that we would consider to be licensable Android.
Charlie Anderson - Dougherty & Company: Got it. So I guess the answer would be the vast majority of phones over there are already using some of form haptics, correct?
Vic Viegas: That’s correct yes.
Charlie Anderson - Dougherty & Company: Perfect, thank you so much.
Vic Viegas: Thanks Charlie.
Operator: Thank you. (Operator Instructions). And our next question comes from the line of Matthew Galinko with Sidoti & Company. Please go ahead.
Matthew Galinko - Sidoti & Company: Hey guys, thanks for taking my question. Just curious how much legal expense you have baked into the guidance related to HTC proceeding?
Paul Norris: Well, as I mentioned last quarter, our expense on the litigation was $5 million approximately in 2013. And we expect that to be down, relatively substantially this year by a couple of million dollars. And we still think that’s that we're tracking towards that. It’s always a little bit difficult to predict litigation expense, just because there are two parties involved. But the first quarter was a little higher than we would expected to be the rest of the year.
Matthew Galinko - Sidoti & Company: Thanks.
Vic Viegas: Thanks Matt.
Paul Norris: You bet.
Operator: Thank you and our next question comes from the line of Paolo Gorgo with Nortia Research. Please go ahead.
Paolo Gorgo - Nortia Research: Thanks. (Inaudible) only to the China market. Can you (inaudible)?
Vic Viegas: Paolo, I'm sorry, but we can't hear you. There is a tremendous echo.
Paolo Gorgo - Nortia Research: Sorry, okay. I hope you can hear me. I was (inaudible) licensing opportunities (inaudible) haptics?
Vic Viegas: Again Paolo, we're not hearing you clearly as there is a lot of echo.
Paolo Gorgo - Nortia Research: Sorry.
Vic Viegas: Operator, I think we might have lost Paolo.
Operator: And I'm showing there is no further questions in the queue sir.
Vic Viegas: Okay. Well thank you everyone for being on the call with us today. And as always we look forward to updating you again on our next quarterly call. Good day.